Sigve Brekke: Good morning to everyone, and welcome to our third quarter presentation. I'm very pleased with this quarter. It's a strong quarter. As expected, we have impact of the COVID situation, and we therefore have a 2% decline in our S&T revenues. That's due to roaming shortfall and lower sales in Asia, but our modernization journey continues. And I'm pleased to see that that's taking down our OpEx with 8%, resulting in a very good EBITDA growth of 4% and a free cash flow generation of NOK4 billion. I'm especially pleased with the strong performance in all our 4 Nordic operations. Telenor Norway continues to deliver on both modernization and in combination with innovation. It gives us revenue growth. It gives us network modernization. And on top of that, it also gives us efficiency, cost efficiency. Finland delivers on plan, the plans we had when we acquired the company more than a year ago. And in Sweden and Denmark we have been focusing over the last quarters on a turnaround, and I'm pleased to see now that, that is also resulting in some effects. And we have now, as we saw in the last quarter, a positive customer growth. In our quarterly results, we are also highlighting the results of the focus we have had over the last few years on modernization and digitalization, not only on efficiency but also on the way we deliver services to our customers. And back in April, when the COVID situation started, we said that we have the flexibility in our operating model, flexibility to adjust costs when the top line is challenging. And this has proven to give us resilience throughout the challenges that we have had the last 2 quarters, and the 4% EBITDA growth is a result of that. And this is a combination of investments into digitalization and organizational modernization. As I said, we have a robust result and a robust quarter in all our 4 Nordic units, and I'm very satisfied to see that. Starting with Norway as you see here on the slide. Once again, the fiber and fixed wireless access is offsetting the decline in our fixed copper legacy revenues. And we are on plan with shutting down the copper network by the end of 2022. In this quarter, we added 12,000 new connections on fiber and 14,000 new connections of fixed wireless access. I'm also very pleased to see the innovation drive in Norway, and you see that coming through in the domestic mobile revenues. This quarter, we had a 2.5% growth in domestic mobile revenues, if you adjust for the shortfall of roaming revenues. And as we have seen now several quarters in a row, 2/3 of the ARPU increase is coming from new services that we put on top of the connectivity. In June, we also launched a new tariff. We called it Next. That was a learning we took from Finland that for many years have been pricing speed rather than volume. And this tariff is also then leading towards the same principle here in Norway. And our customers are very happy with that, and since June, we now have more than 100,000 customers on this new tariff. As you also see on this slide, we now have a positive postpaid growth in all our four Nordic markets. It's coming as a result of the focus we have had on investing into customer value propositions. And I'm especially happy to see that, in Sweden that we have been struggling with, we now see positive net adds for the fifth quarter in a row. I want to spend a little bit time on Myanmar in this presentation. And the reason for that is partly what's happening in the market, but it's also to talk a little bit about the way we are running our operation. As you can see here on the slide, we continue the data growth, and data now drives 60% of the S&T revenues. This in a highly competitive market where customers are really taking advantage of promotions. And the result of that is that customers have multiple SIM cards, multiple SIM cards with all the four operators.  The government then decided that they want to re-register all the customers. That's something that they decided some month ago. What that really means is that all existing customers, not only new customers, need to go back to the point of sale with an ID card to re-register themselves. They also then have a rule that every customer can only have 2 SIM cards and 2 SIM cards per operator. That is the reason why you see a cleanup in this quarter and a 20% reduction in the number of SIM cards, not number of customers. We are then left, after the clean up, with a more mature market, more like we see in the other Asian business units. We see an increased usage per SIM with fewer SIMs per customer, and we see a higher-quality customer base. And we were quite prepared for this change. And we were prepared because we have invested in digitalization of the customer interactions for some time. And that's why you now see that we have 115% growth in the MyTelenor app, and 40% of the S&T revenues are now going through that app. That's a digital way of topping up your account. We have also been focusing on our operation in Myanmar. And Myanmar, it's the test bed for how far we can take what we call the no-touch operation. And in September, last month, 80% of all the processes are now automated in the network and the IT operation, 80%. And take one example out of that: This automization have showed us that we have a 52% reduction in network outages. And when we have a network outage, there is a 68% reduction in the duration of it. That's a benefit of using predictive incident detection and overall automation. It's also quite impressive to see that in Myanmar, with this new operating model, we are running a company with 17 million customers and 750 employees. And that is why you see a very strong EBITDA margin in this operation, despite the pressure we have in the market, of 57% EBITDA margin. Let me then talk a little bit about how COVID continues to impact us. The Nordic operations are relatively robust, so the impact here in the Nordics, it's on roaming. On the group level, we have roaming revenues of approximately NOK1.5 billion a year. 70% of that comes from the Nordic. And Norway alone is around almost NOK500 million, so more than NOK100 million a quarter. In Asia we have still closed borders in Thailand and Myanmar, and that is impacting the SIM business both on shortfall from tourists and also migrant workers that are not in the markets anymore. However, we see as the lockdowns are slowly being eased, we see some early indications of recovery in Bangladesh and in Pakistan. And that's the reason why we in these two markets, Bangladesh and Pakistan, added 4 million new subscribers in this quarter. We have tried to estimate what is the EBITDA effect of the COVID. And our estimate is that, so far this year, the first 3 quarters, we have an EBITDA effect of around NOK1.3 billion, whereby 75% of that comes from reduced sales in Asia. As we see it now, COVID-19 is going to impact us also in the fourth quarter and also going into 2021. We expect movement restrictions to still be in place and lockdowns to continue. We see that now in Malaysia, for example. Lockdowns are coming back. We see that in Myanmar some of the lockdowns are coming back. And as just said before, our uncertainty is the duration of these lockdowns, but as we also have demonstrated so far this year, we are going to continue to balance the challenged top line development with costs to make sure we are keeping our focus on the free cash flow generation. Despite the COVID-19 challenges, we stay firm on the direction that we talked about in our Capital Markets Day early March. We talked about growth. We talked about modernization, and we talked about responsible business. Let me then dig a little bit into growth, where we are on growth and where we are on modernization. The growth comes from, as this slide shows, data growth in Emerging Asia; value-added services on top of access in Norway and then broadband also access in Norway; and in the Nordics, 5G upselling. In Asia we still see a low penetration of smartphones. It's still in the 30s. We see still low data usage, but the demand is increasing, as you see on this slide. In the last quarter, we have a double-digit growth in all our 3 markets in Emerging Asia. Myanmar is the most advanced one and leading on, and we are taking learnings from Myanmar and applying that in Bangladesh and in Pakistan, but we also see a development where more affordable smartphones are coming to the market. Take one example on that coming from Grameenphone in Bangladesh. The number shows us that, when a basic customer, basic data customers, is going from a feature phone to a smartphone, the ARPU increases typically around 20%. And when a more advanced data usage is coming from using a feature phone to getting a smartphone, the ARPU, it's increasing more than 100%. That is the way we are going to drive the data revenues in this part of our portfolio. In Norway we have had success over the last quarters in upselling customers to higher or richer data bundles. Now the bundles we have with our postpaid customers in Norway are almost unlimited data. That's why we launched the new product, the Next product, as I talked about, preparing ourselves for changing the upsell logic to also be on speed and taking learnings from Finland on that and then prepare ourselves for 5G and speed-based pricing. We also see in Norway growth in our fixed wireless access both on 4G, where we now have 66,000 customers; and also when we are getting customers, fixed wireless access customers, on 5G. And last year, we started the focus we had on bringing services on top of connectivity, as I also talked about, and in the third quarter alone, we had around almost NOK500 million. In this slide, you see NOK482 million revenues coming from those services, and we have very healthy margins on those services. The blue part of the bar here, it's ARPU-related value-added services. It's mostly on the consumers. It's storage. It's security. It's insurance. And it's also on business where we are having value-added services coming from APIs and also cloud business. The green part of the bar, it's then revenues not being in the ARPU but coming from IoT and machine to machine. We have also put some -- I put some pressure on my Nordic CEOs to take the learnings from Norway into the three other Nordic business units. And we have now created a team under our CEO in Finland. It's actually headed by the previous CEO in Denmark, Jesper Hansen, to develop a Nordic product house, taking learnings from Norway and bringing that out across the business units both on the consumer side but also on the business side. And in Finland we now have 46,000, almost 50,000, subscribers on 5G. And we see that, that speed upsell logic continues to be driving revenues in the Finnish market. And that's what we are going to deploy also in the other Nordic business units. Then on the modernization. In every crisis, there is an opportunity, and quite early on in the COVID situation, we decided to look at what are the opportunities we now see to actually accelerate some of the structural programs. And it's in these 3 different buckets. It's to accelerate the organizational modernization. It's to accelerate the digitalization of customer interactions and also to accelerate what we do on what we call touch-free operation. Starting with organizational modernization. We are now simplifying the way of work. We are simplifying our organizations. We are increasing the span of control. We are implementing new business models also with partners. And as a result of that, we have reduced the number of FTEs with 9% year-on-year, but we are also focusing on increasing the competencies, making ourselves ready for the future. We have then lifted the critical competence of -- the people that are skilled with critical competence with 33% year-on-year, and we are investing into that going forward. In addition to that, we have also now for the last two years had a 40-hour challenge, where the purpose of that is to lift the entire employee base up to be better skilled in meeting the future challenges. And it has been very successful. It is taking 40 hours off your working day to reeducate yourself. And we have decided to change the way we work, again taking the learnings from Finland but also from the COVID in more flexibility, letting our employees choose how to work rather than where to work. And we are trying then to with that take advantage of the balance between being in office and working remotely. When it comes to accelerating the digitalization of customer interactions. Historically, Telenor have had competitive advantages with building a very strong physical distribution, that being in the Nordics but even more so in Asia. And we have been very focused on having point of sales in every villages, and there shouldn't be many hundred meters to walk for a customer to find a point of sales. And that has left us with almost 1 million point of sales. In Bangladesh alone, for example, we have more than 200,000 points of sales. It has given us a real advantage. Now we are looking at how can we take the same advantage into a digital way of working, digitalizing the entire distribution; and with that, getting a direct access to the retailers but also direct access to the customers.  We have developed an app now for the retailers such that retailers can both get commission but also get information through an app rather than having people visiting the point of sales. That is then bypassing the distributors and saving costs, but we are also developing the MyTelenor app, going directly to the consumers and also bypassing the traditional physical retailer. So as a result of that, we get cost reductions, but we also get more frequent customer interactions that we can use to tailor-make products to our customers. So you see here on the slide that in Grameenphone and in Telenor Pakistan we increased almost 60% digital top-ups. And this is really giving us the effects that I just talked about. And the third bucket was on the touch-free operation. And we now see the benefits of the structural investments we have made over the last 2, 3 years. And we now take also experience from the COVID situation, where we were forced actually to run our operation remotely from our homes. I talked about how this is working in Myanmar and how we are using Myanmar as a test bed in Asia. We are doing the same in the Nordics and here with Telenor Denmark, and in Telenor Denmark that is the most advanced business units we have in the Nordics, we are focusing on robotic and process automation. And as you see on this slide, we have increased the number of robotic processes across the business areas with 70% year-on-year. And to take one example: 12% of all the customer requests or customer tickets are now handled automatically, and that 12% in itself has reduced the need for customer service agent with around 20 FTEs. Let me then end with the main priorities in the coming quarters. And as I said, we are going to stay focused on the 3 strategic pillars that we talked about in our Capital Markets Day back in March, and we are going to even accelerate the speed of implementation here. So on the growth area, we need to return to growth in Sweden. We have returned to positive customer growth, but we also need to arrest the decline in revenues and back to growth. We need to now take the similar digitalization process in Myanmar and rebuild the customer base with the implementation of the digitalized distribution. And we need to make sure we are delivering on what we are saying on our potential on monetizing 5G, being for the consumers and also being for the business segment. On modernization, we are running now a significant modernization processes with all our business units to look at the business models to make sure we are working more efficient. And again Denmark and Myanmar are 2 very good examples of that, that we are taking learnings from. We have now brought projects on digitalized customer interaction. Touch-free operations, I've talked about, and we are going to deliver on the copper decommissioning project in Norway. And I'm very pleased to see that, that project is actually going on, and it's on plan despite the challenges we have had now during the COVID situation. And our absolute plan is to finalize that by end of 2022 and be completely legacy free going then into 2023. And on responsible business, we put forward some climate ambitions in our Capital Markets Day. We are in the midst now of figuring out how to deliver on that. It was to be climate neutral in the Nordics by 2030 and reduce the climate emission in Asia with 50% also within 2030. And the last part and not least, we are continuing to invest both in skills and in infrastructure to make sure that our networks and IT infrastructure is well protected against cyber-attacks. So that ends my presentation. And I then leave the word to you, Tone, our group CFO.
Tone Hegland Bachke: Thank you, Sigve. And good morning, everyone. I will now take you through the financial highlights of the quarter. In line with our expectations, we continue to see top line impact of the COVID-19. However, the solid cost performance across the group results in an OpEx reduction of 8% and leads to a strong organic EBITDA growth of 4% in the quarter. Furthermore, we see a free cash flow of NOK4.4 billion in the quarter. Looking at the revenue development, the 2% organic subs and traffic revenue decline. Growth in Myanmar and Norwegian fixed future continue to be positive; and several BUs are now, as you see this quarter, in neutral territory in respect of growth. In Thailand we see shortfall of prepaid revenues from tourists and migrants in combination with a slowdown of postpaid growth. Total negative contributions to the group revenue amounted to 1.6 percentage points. In Sweden continued price pressure, in particular for B2B, in combination with reduced roaming revenues, is leading to negative growth also this quarter. Overall, the loss of roaming revenues impact the growth negatively by 1.1 percentage points. This is primarily driven by the Nordics. During the quarter, we see that the opening of the societies in Pakistan and Bangladesh is resulting in improved customer intake and indication of stabilization of revenues. In Myanmar we continue to see a positive S&T revenue growth of 6%. However, as Sigve mentioned, Myanmar has been through a SIM registration process ending on the 30th of June. This is also the reason why we saw the big drop in subscription during the quarter. In combination with intensified price competition after removal of the price floor, we expect pressure on top line in Myanmar in the coming quarters. When it comes to OpEx, we see a continued strong momentum resulting in an 8% OpEx reduction this quarter. We estimate that cost savings from COVID is approximately NOK200 million this quarter, with the majority coming from the reduced sales and marketing costs, but also we see it in other areas such as travel projects and others. The underlying performance adjusted for nonrecurring item both this year and last year is still strong. As you see on this graph, we had M&A costs of NOK110 million last quarter. In this year, we see that material cost reductions in most business units but in particular in Thailand, Norway and Sweden and other units is driving the cost reductions. We estimate that approximately half of the OpEx saving this quarter is coming from structural initiatives driven by the extensive modernization agenda that we are running across the group. Moving to EBITDA. We see a strong organic EBITDA growth of 4% this quarter. In Norway we see strong momentum both on revenue and modernization is resulting in a solid EBITDA. Furthermore, within other units, we see a large EBITDA increase year-on-year. This is driven by reduced costs coming from lower number of FTEs; fewer consultants; travel; and in general, savings across the board. In addition, we see improved performance in Tapad, and we have easier comps from higher M&A last year, as mentioned. In Sweden the cost reductions are not able to compensate the top line decline, but a nonrecurring item from a reversal of a previous provision of NOK150 million lifts Sweden to positive territory this quarter. And this impact is approximately 1 percentage point on the EBITDA growth for the group. In Thailand and Malaysia we see the continued impact on top line from loss of tourist and migrants revenue, in combination with increased competitive pressure in the market, result in a negative EBITDA development year-over-year. Also, in other units, I'm pleased to see solid performance in our infrastructure company in Norway, which has confirmed the business plan by being on track towards realization of synergies. The results so far indicates a value potential above our assumption, and we will move forward with similar solutions in other parts of our portfolio. Moving to net income. Reported net income to equity holders of Telenor ASA in the third quarter was NOK4.5 billion, which is an increase of NOK5.2 billion from last year. The increase was the result of the underlying improved EBITDA but also positive development in net financial driven by a NOK700 million currency gain this quarter compared to a loss of NOK1.8 billion the same quarter last year. Tax in the third quarter of 2019 was high due to booking of a tax expense of NOK2.5 billion related to losses in India. Norwegian tax authorities are of the opinion that this is a nontax deductible loss, and Telenor is challenging this. The remaining section is primarily from disposal of the 85 development properties during the quarter, resulting in an accounting gain of approximately NOK500 million. This brings us to a net income to equity holders of Telenor ASA of NOK4.5 billion or NOK3.23 per share. Looking at cash flow elements. CapEx this quarter is on the same nominal level as the third quarter last year, and we had a CapEx-to-sale of 12% in the quarter. We see continued high investment level in Norway and Finland. Going forward, a ramp-up of CapEx is expected in the fourth quarter related to the ongoing network modernization programs that we're running and 5G rollout. As you know, we are cash flow oriented, and the flexibility we have in our operational model gives us the ability to maneuver in these uncertain times. The cash flow in recent quarters are demonstrating this ability. Free cash flow before M&A was NOK3.9 billion in the third quarter, an increase of NOK1.1 billion compared to last year. The increased cash flow was mainly a result of the higher EBITDA but also the lower taxes, as mentioned, and spectrum payments. Cash flow was negatively impacted by payment of the appealed ESA fine of NOK1.2 billion in September. And this case is, as you know, still ongoing. Total free cash flow was, as mentioned, NOK4.4 billion. As you might have seen in the news yesterday afternoon, we did another step on the simplification journey when we entered into the agreement to divest our headquarters here at Fornebu. The gross property value in the transaction is close to NOK5.45 billion. A customary tax rebate will be deducted from the gross property value, in addition to certain other items, which leads to a net purchase price of approximately NOK5 billion, which will be received at completion. Improved EBITDA, in combination with the strong free cash flow this quarter, leads to a slightly reduced leverage ratio of 2.1x EBITDA compared to the 2.2x we had in the last quarter. Let me conclude the presentation with the outlook for 2020. In the first and second quarter, we stated that the main uncertainty is related to the duration of the pandemic and how the measures taken to fight it impact our business. On the top line in the third quarter has developed in line with our expectations, with very limited travel impacting roaming revenues. Except for roaming, we see a resilient development in our Nordic operations, as Sigve has just been through. In Asia we see that the economies have different paths through COVID and towards recovery. The third quarter performance demonstrates the strength of our operating model. Based on our performance so far this year and our expectations for the remainder of 2020, we still believe we will see a low single-digit decline in organic subs and traffic revenue this year. For EBITDA, we believe the momentum we have on cost efficiency will be supportive of an improved outlook despite having tougher comparables in the fourth quarter. With an EBITDA increase of 2.4% year-to-date, we believe we will end the year in the range of low single-digit EBITDA growth. Year-to-date, we have CapEx-to-sales of almost 12%, and as mentioned, we expect a ramp-up in the fourth quarter. As such, we maintain our current outlook of around 13% CapEx-to-sales for the full year 2020. The COVID situation continues to be volatile. We have recently seen increased number of daily new cases in Myanmar and also new lockdown measures being implemented in Malaysia. In this situation, our financial focus continue to be to build resilience in the cash flow supported by a strong cost focus and CapEx management, while we will at the same time monetize on the growth opportunities we see in our markets. Then I believe, Sigve, we're ready for the Q&A.
Sigve Brekke: Yes, we are, Tone. Thank you. So we open then up the queue for Q&A, please, moderator.
Operator: [Operator Instructions]. Maurice Patrick from Barclays. 
Maurice Patrick: Yes. It's, yes, Maurice here. Just if I can take you through your Slide 6, where you show the sort of very helpful phasing of service revenues in the Asian markets. I mean you talked a bit around Myanmar seeing tougher comps due to second lockdown, but I just wondered about your sort of thoughts in terms of how you see the trajectory in the various Asian markets developing.
Sigve Brekke: Yes. Thanks for the question, Maurice. And this is exactly the same graph as we showed you in the last quarter presentation, and I think we got a lot of good feedbacks on this illustration. What we see -- and then I have to go through the market a little bit one by one. We see now a recovery in Bangladesh and in Pakistan. The COVID situation is still very serious there, but the lockdown has eased in those two markets. And that's why we saw 4 million new subscribers in these two markets in the COVID itself. And we expect then that this gradual opening up will continue in these two markets.  In Myanmar we also see that there is a gradual opening of the lockdown in the market. However, we are not sure about the SIM registration effects and also how our competitors are going to react to that. And if we are going to return to the gross add game or if we -- now we can take benefits out of a more mature market and more healthy customer base. And then in Thailand we will see the same impact of no tourists coming there and no migrant workers coming there either. That's why -- and the same in Myanmar -- no, sorry, in Malaysia. I mean in Malaysia we've also seen some increased competitive moves in the last few months. So that's why you see that on this graph, and then on top of that, there is tougher year-on-year comparables, as Tone said. So it's definitely flattening out, but it's still early to see the slope of this curve in the fourth quarter, but yes, this is what I can tell you.
Operator: Roman Arbuzov, JPMorgan.
Roman Arbuzov: I had a question on the [indiscernible] consolidation for Telenor. And well, that's the question. Given perhaps some seeming support for the telco sector from European politicians and regulators, do you think there is an opportunity for Telenor to have consolidation in the full plan Nordic markets, namely Sweden and in Denmark?
Sigve Brekke: Well, I think you need to direct that question to the EU competitive authorities. We have said all along that Denmark is too crowded and that we would like the market to be consolidated. We tried back in 2005 to merge with Telia, but we did not get the necessary approval from the competition authorities. And even Sweden, we think it's too crowded, but it's too early to say. We, of course, are all reading the EU court's decision on the attempt of consolidation in Sweden -- sorry, in England, but we don't know if that is going to change the authority's policy. And so I don't know. It's yet to be seen if they allow more consolidation to happen than they have done in the past.
Roman Arbuzov: Can I also have the follow-up, please? And this one will be to Tone, I guess. [indiscernible] demonstrated a very strong [indiscernible] execution of digitization agenda. It seems like -- you've talked about some of the improvements in terms of business activities coming back in some of your markets. And yet when we look at the cost base, it still feels, while it was huge, it's driven by some of the costs that you were able to take out of the business. I'm trying to get a sense of the sustainability of this very strong [indiscernible] demonstrated [indiscernible].
Tone Hegland Bachke: I'm sorry. I didn't get your questions. You were breaking up a bit. Could you please repeat it?
Roman Arbuzov: I am sorry [indiscernible] reduction on an underlying basis. You've produced in Q3 a very similar result to Q2, which is a very strong result, all right? And this is despite the fact that we've seen [indiscernible].
Tone Hegland Bachke: Yes. I don't exactly hear your question, but you're right that we continue to execute on our structural agenda in addition to the increased focus we have on certain initiatives. And that is what's driving the continued strong underlying cost performance, but as Sigve also said in the second quarter, this will have different quarterly effects compared to the year-over-year. But you're right, that we in the third quarter continued to see a very strong figure compared to last year.
Sigve Brekke: Okay.
Operator: Frank Maaø, DNB Bank.
Frank Maaø: Yes. So in Sweden the -- or there was an announcement yesterday that the Swedish -- no, the Chinese vendors, sorry, for -- of equipment, the RAN equipment, were being excluded in connection with the upcoming 5G mid-band auction. Could you enlighten us on how you expect that to impact your CapEx in Sweden and if you foresee any similar moves in other markets as a risk?
Sigve Brekke: Yes. Thanks for your question, Frank. As we said when we announced our 5G vendor choice in Norway, we said that we are going to follow the regulations and the authorities' views on this in every market. We did that in Norway when we selected Ericsson as our 5G vendor. We did that in Finland, and we are going to do that in Sweden as well. And we are going to do that market by market, but then to the cost part of your question, I think what we have tried to do over the last 2, 3 years is to really centralize our procurement function through our Telenor Procurement Company. And we do that because we want to use the scale we have and not be kind of market dependent on this, market by market. So what we have done is to implement what we call a global price book. And we do that in every market where we frequently are swapping out our network. So if you want to win in one of the, for example, big Asian markets, you may come a little bit steep, deeper on your price, but then that same price is automatically then hitting you in smaller markets. And this is the way we are using scale. And this is the way we are then having the balance in our vendor portfolio to make sure that we are going to continue to keep the cost focus in every market. And this is what we are going to do in Sweden as well. And we are going to, together with our partner Tele2, pick a 5G vendor and make sure we have the right prices.
Frank Maaø: Just a quick follow-up: Do you expect the need to swap in Sweden to kind of delay your rollout of 5G there?
Sigve Brekke: I don't want to comment on that. Just say that we want to stay -- on one hand, we want to have the best offers. On the other hand, we want to stay competitive. So of course, in Sweden also there is going to be a demand for 5G, so we have to make sure we have a competitive network. So it's the balance between those 2 things that are going to be the decision factor.
Operator: Paul Sidney, Crédit Suisse.
Paul Sidney: Yes. I just have a follow-up really on an earlier question just on the subs and traffic revenue growth trends, particularly the midterm guidance and your target of returning to growth in '21, '22. I was just wondering. Could you give us a bit more high-level detail on how that group target breaks down maybe between Norway, the rest of the Nordics, the Asian assets; and how you see the drag from roaming and COVID effects? Just sort of break it down and piece it altogether. That would be really useful.
Sigve Brekke: Yes, I know that, that will be very useful, but we don't really do guiding within the guiding, so...
Paul Sidney: Just very high level.
Sigve Brekke: High level is that, yes, we expect the roaming shortfall to continue. People are not going to travel as they did for some quarters to come. So that's the main impact of the revenues in the Nordics. And we also know that the decline in the legacy revenues in Norway is going to continue as we are replacing that with more future-proof networks.  So Nordic is not really the issue. The issue is in Asia, and I think in Asia it's all about the lockdown duration. And are we going now to go back to more serious lockdowns, or are we going to continue to see the easing of the lockdowns? And we don't know the answer to that. And that's the reason why we cannot predict more accurately the revenue development, but as we have said and also Tone said, what we are trying to do is to stay very close to the market, making sure we are not losing market share on -- neither subscribers, nor on revenues; and then adjust this uncertainty going forward with our cost efficiency. So that's the only thing I can say.
Paul Sidney: Okay, maybe just a quick follow-up: Have you built in some of that uncertainty into those midterm targets?
Tone Hegland Bachke: What I can say is that we maintain our midterm targets as communicated on the Capital Markets Day in March this year, and that is based on what we see where we stand now.
Sigve Brekke: And that being both on the revenue side but also on the cost development going forward despite the costs we have delivered so far this year.
Tone Hegland Bachke: Yes, yes.
Operator: Andrew Lee from Goldman Sachs.
Andrew Lee: Yes. I had a question on Sweden and then a follow-up. On Sweden, we've had pretty encouraging commentary from the new CEOs at Tele2 and Telia that they believe the market that -- can sustain ongoing Swedish price rises. How do you balance your need to recover growth trends, which you've highlighted as a priority today, with the risk of undermining the inflationary trends of the market? And then just secondly as a follow-up actually to someone else's question on the Nordic in-market consolidation hopes, just in respect of competition authority approval, do you think there is a seller in Denmark or Sweden? And would you have an ambition as a buyer?
Sigve Brekke: The last question, I cannot comment on, other than if there is a seller, of course, we will be interested to look at that again, as we have clearly stated out over the last few years. And then probably, the answer to what -- where the EU and -- sorry, the EU's competition authorities are, you will not get before someone is testing this and bringing forward a case. So of course, we are in dialogue with others and there's a lot of discussion around this. To your first question now. We are not a market leader in Sweden. That's Telia; and then number two, Tele2. So we are a follower in that sense, and we don't want to be a part of a market destruction. We want to keep our market position, so what we are focusing on now, it's our value proposition to the postpaid customers, and we think we have found a better balance there. That's the reason why we have been growing customers over the last 5 quarters actually. And then we also are looking at can we take some of the learnings we have in Norway on the B2B and bring over to the Swedish market to avoid on the price competition on SME and the larger corporates. So that's our position and that's the implementation plans we have going forward.
Operator: Terence Tsui from Morgan Stanley.
Terence Tsui: Yes. I had a big picture question around the structure of your portfolio at the group level just given the strong performance in the Nordics and, on the other hand, sort of challenges in the Asian markets. I just wondered whether you've given any more thoughts around potentially creating an Asian holding company for your Asian assets. So that's one structure that could have been in place where the Axiata deal actually went ahead if it did go ahead. So I'm just wondering if you see any further potential benefits down the line from potentially having an Asian holding company for those assets based out in the region.
Sigve Brekke: Yes, of course. We have given that a lot of thoughts, and you will be the first one to know if we have any moves on that. What I can say then is that we are encouraged by what we tried to do with Axiata last year. And as you remember, that was both to merge in -- our assets in Malaysia, but it was also to set up an Asian company and go to the stock market with that. We got good feedback on that from our investors. However, we were not able to finally close that deal, but the structure on that deal, we feel that -- yes, that you appreciate it. And that's, of course, what we are bringing with us going forward also in our thinkings and in our evaluation of different options, but I cannot go more into it than that.
Operator: Peter Nielsen from ABG.
Peter Nielsen: Well done on another strong quarter. Can I just ask on Norway [indiscernible]? You highlighted the growth in the fiber -- FWA is again sort of outweighing the decline in the legacy business again this quarter. We've spoken previously about whether part of it might be related to the ongoing pandemic and changing traffic patterns, but the way it's looking now and with the copper decommissioning coming up in a couple of years' time, I guess we have some visibility and getting closer. Is there any reason to think that this should not continue in coming quarters and perhaps until the end of the copper closure? Or do you think there are some temporary issues involved here? And then just secondly, Sigve, are you seeing or having any sort of a pull from your industrial partners in Norway in terms of 5G applications, et cetera? Is the industry pulling you in that direction, or is it still too early?
Sigve Brekke: Yes, I can take your last question first. The answer to that is yes. We are now having -- we have launched 5G in Norway, as you know, as the first operator, back in March. We have done that now in 11 locations. And several of those locations are pilots that we test out with the industry players. We are testing it out with an autonomous ferry that is crossing the Oslo fjord. We are testing it out with the salmon industry up in the middle of the -- Norway. We are also working together with the public sector. So we are really testing out now business models that 5G can have for the industry sector, and I think we have come quite far actually of learning and experienced what those business models could look like. Then to the other question. Yes. I -- we now -- at the end of last year, we got up to speed on the fiber rollout, and that's what's continuing now into the first three quarters of this year. And now this is a machine almost that is really giving us a lot of good customers. And it is in areas where there are no other fiber providers. And we see that, when we then connect fiber to a home, more than 90% of those customers are also taking our TV products, so this is an additional benefit out of fiber. So we are very happy with that and we're going to continue with that.  And there is still probably a couple of years left for -- on the fiber rollout in Norway. And then on fixed wireless: That started as a little bit trial, to be honest, to test out what is the customer uptake on that but also how we will then balance the traffic in the network. However, we now see that it's moved beyond the trial with now 66,000 customers, I think, we have on that product. It's really appreciated by the consumers. And we see that the geo lock we have on this is then utilizing the capacity we have in network in more remote areas. So we have full speed on that now, and we are really encouraged actually that this is a very good broadband product. And that's what we're also going to take with us implementing the fixed wireless access on the 5G network, which is even better because then with the slicing in the network we can also attack more urban areas.
Operator: Ulrich Rathe of Jefferies.
Ulrich Rathe: Yes. Two questions from me. The first one is a clarification. So of the 3.6% EBITDA growth, no less than 1.6 percentage points came from other and that already excludes the M&A uplift. So that 1.6%, can you just shed a bit more light where exactly that's coming from and how sustainable the drivers of that growth are? Second question is obviously the EBITDA growth is driven by this amazing cost delivery. And I mean we are in exceptional circumstance, so I suppose that the axe is coming down from the top and everybody really cuts back.  And you mentioned it yourself. There are sort of elements that might sort of change again, but could you just comment a bit more top-down whether there have been previously unknown opportunities here, completely new buckets of cost savings that have been opened up that are sustainable? Because the way you talk about it is just you talk about it mainly in the framework of accelerating your existing programs. You're not so much talking about the sort of one-off elements in the cost cuts and also sort of new cost opportunities, so I'm just trying to sort of get a bit more color on the structure of these cost measures and then how that sort of unfolds into next year and how much really is just the axe in times when the revenues drop in a way that's not going to happen in the future.
Tone Hegland Bachke: Yes. Thank you for the question. As you say, the EBITDA growth is now driven mainly by the cost reductions, but there are also areas where you see -- particularly for instance Norway, where we have a strong EBITDA development also. When it comes to the OpEx reductions, you see and we see. We saw in the second quarter and we see now in the third quarter that they're basically coming across all business units, and they're coming within all cost categories.  And this is the result of the programs that we have been running for several years within the structural efficiency; within changing the way we work, the way we make our operation. That goes for network. That goes for IT. That goes for the organizational part. And it goes, of course, on how we make our procurement and other activities, so it's we -- included in this is also, of course, the sunset of the copper in Norway. So we have, across the portfolio, defined a number of activities different within each business unit that is focused on to make sure that we develop each BU in line with our ambitions. And that is what's driving these cost reductions across and the improved EBITDA. Thank you.
Sigve Brekke: Thank you.
Operator: Ondrej Cabejšek from UBS.
Ondrej Cabejšek: I have a follow-up on the OpEx questions that we've heard, so far, more related to the HQ news from yesterday. So you say that basically within 7 years you will be -- of the 40% capacity that you will be taking up, so far, about 15 percentage points of that will probably not be prolonged. So I was just curious whether there is a read-across to how efficient Norway could be from your perspective over the maybe longer term in terms of full-time employees. That's my first question, please.
Tone Hegland Bachke: Yes. I think we have had these whole wonderful office buildings which we have shared with some tenants. I think it's fair to say that we will over the next year change the way we're located here, and that will also be part of the reduced need for office space. There is no indication that we will give on, of course, future FTE development. That is not part of that, but it's more in relation to how we will utilize the offices that we foresee to be a tenant on, on the longer term.
Ondrej Cabejšek: And one short follow-up, if I may, just on Myanmar. You -- I believe you didn't mention whether -- the pricing floor removal, whether that was still going to be valid in the fourth quarter or beyond as well. Could you give some color on that, please?
Sigve Brekke: Was it the price floor you ask about?
Ondrej Cabejšek: Yes, exactly. So that was removed in the second and third quarters. Can you give an update for the near future, please?
Sigve Brekke: Yes. Well, again we don't know, but to be -- I think it too optimistic to believe that it will be reinstated, to be honest. I think it's gone, but of course, we will try our best to argue that it should be reinstated. But we are preparing ourselves now for the competitive situation that we have and really drive the data growth and, with that, bring more services to our more higher-quality customers. That's the belief. We are running a little bit short on time, but 2 more questions, 2 more callers.
Operator: Siyi He from Citi.
Siyi He: Just a couple of question on Thailand and Malaysia. Just looking at your postpaid sub growth, it looks like the postpaid subs has -- was quite limited this year even before the COVID, so I'm just wondering if you can comment on your postpaid strategy, whether the current trend simply reflects your cautious approach given the COVID uncertainty or there are other reasons behind that such as changing underlying market competition or your approach to those markets given the uncertainty around the 5G spectrum.
Sigve Brekke: No, the strategy have not changed. However, what we see now in the COVID situation, that the churn is much less, so fewer people are changing operator. And that's the reason why you also see that there is less new postpaid subscribers to come in the market. I think that's COVID related and probably also handset related because there are -- the people aren't going to the shops to take handset bundles. We also see that there is less pre-to-post migration, and that probably also COVID related. So the -- we are not going to change our position here. So what we have tried to do over the years is to change the operation, the data company from being kind of a price promotion-driven type of approach into a more postpaid bundled service type of approach and then to migrate prepaid customers to postpaid. That's going to continue but probably not after the impact of the COVID.
Operator: We'll take our last question from Usman Ghazi from Berenberg.
Usman Ghazi: I just wanted to ask a question again on the Asian businesses, please. I mean I can see, The World Bank, they revised -- or they published the revised GDP forecasts for South Asia and Southeast Asia. And I guess, I mean, relative to the trend over the last couple of years, the forecast here is for GDP to be at least 1/3 lower for the next 3 years in terms of growth rates. And so just in that context, yes, it seems like your midterm outlook -- again as you remember, midterm outlook captures the coming 3 years. I mean that does look fairly aggressive now given -- I mean, if you were doing 4%-plus kind of growth rates in bulks and bundle base given the GDP forecasts have gone from, let's say, 4%, 5% to now flat to up 1% over the next 3 years, that it will seem ambitious for you to be able to achieve those kind of growth rates in this kind of environment. So just any kind of thinking around that would be helpful, please.
Sigve Brekke: Yes, of course, we don't know how the macroeconomics are going to develop in Asia, but what we have seen in previous crises is that the telecom sector has been relatively resilient through those crisis. And the reason for that is that we really provide services that people need, but of course, this, we don't know. And the midterm guiding on 0% to 2%, Tone, we -- I wouldn't say that that's optimistic. That's in our plans.  And remember that in the Nordics we are less impacted by COVID and also a robust macro situation in the Nordics. We are going to continue with the growth approach we have in Norway. And when also the legacy revenues are washed out in end of 2022, then you will see the underlying growth coming. We are going to continue to grow in Sweden -- sorry, in Finland and, hopefully, also get the -- back to growth in Sweden and in Denmark. So -- and then we think that the Asian customers are going to continue to demand data, and that's very much related to the smartphone penetration. So that's why we are keeping our midterm guiding in the coming three years with a 0% to 2% revenue growth; and on top of that, of course, continue our modernization efforts to grow the EBITDA even more.
Sigve Brekke: I think that's concludes the list of callers. Thank you very much for listening in to this quarter presentation, and thanks for very good questions. And have a good day.